Operator: Good day, everyone and welcome to the Standard Motor Products Second Quarter 2022 Earnings Call. [Operator Instructions] Please note today's call will be recorded, and I will be standing by should you need any assistance. It is now my pleasure to turn the conference over to Tony Cristello, VP, Investor Relations. Please go ahead.
Tony Cristello: Thank you, Chris. Good morning, ever one, and thank for joining us on Standard Motor Products Second Quarter 2022 Earnings Conference Call. I'm Tony Cristello, Vice President of Investor Relations. And with me today are Larry Sills, Chairman of the Board; Eric Sills, President and CEO; Jim Burke, Chief Operating Officer; and Nathan Iles, Chief Financial Officer. On our call today, Eric will provide an overview of our performance in the quarter followed by Jim, who will give an update on the operations and supply chain. Nathan will discuss our financial results and Eric will then provide some concluding remarks and open up the call for Q&A. Before we begin this morning, I'd like to remind you that some of the material that we'll be discussing today may include forward-looking statements, regarding our business and expected financial results. When we use words like anticipate, believe, estimate, or expect, these are generally forward-looking statements. Although, we believe that the expectations reflected in these forward-looking statements are reasonable, they are based on information currently available to us, and certain assumptions made by us and we cannot assure you that they will prove correct. You should also read our filings with the Securities and Exchange Commission for a discussion of the risks and uncertainties that could cause our actual results to differ from our forward-looking statements. I'll now turn the call over to Eric Sills, our CEO.
Eric Sills: Thank you, Tony, and good morning, everyone and welcome to our second quarter earnings call. I'd like to begin as I always do by thanking all of our SMP employees worldwide. We continue to operate in a challenging and complex environment with more unprecedented influences than ever and our people rise for the task every day, and I could not be more proud. Overall, we are pleased with our top line numbers in the second quarter, marking eight consecutive quarters of record-breaking sales. We were up 5.1% over last year's record period with both divisions showing gains. Let me review each segment beginning with Engine Management. Engine Management sales were up 3.7% against last year's second quarter which itself was up nearly 35% from the previous year. The majority of the growth is attributed to sales from acquisitions made in the last year along with the benefits of pricing actions. Our aftermarket customer POS remained positive throughout the quarter even when compared to outsized growth last year. This excludes our wire and cable product category which after two years of abnormal growth has now returned to its secular decline due to where it is in its life cycle. But looking beyond – but beyond looking at absolute POS information we also received industry data that shows that our brands are outperforming in like-for-like product categories. This reflects the downstream share growth our customers have achieved due to our joint efforts at the street. Temperature Control continued at its solid pace. Sales in the quarter were up 7.5% versus last year, which surpassed the second quarter of 2020 by 47%. But the warm weather came early and strong. We enjoyed some new business from various customers. And here too we saw the benefits of pricing. Looking at the balance of the season although, we are going up against the hottest on record last year and trying to predict the weather as a fool's errand the heat has continued with no end in sight. Customer POS has remained robust and so we're feeling pretty good about ongoing demand streams. So let me talk for a bit about what we've been seeing in the market and how we are thinking about the future. I'll start with our aftermarket business, which makes up nearly three quarters of our total revenue. Looking at the overall backdrop most trends are favorable. The vehicle fleet is aging the lack of new vehicle availability is causing motorists to repair and maintain the vehicles they have. Gas prices peaked and are now starting to drop. And while, we are heading into difficult economic times, the aftermarket tends to outperform in that environment. Furthermore, our product categories which are largely non-discretionary and professionally installed tend to fare even better. While DIY temporarily surged during the pandemic the long-term trend has been towards DIFM. And we believe that our strategy which focuses on the do-it-for-me market continues to be very well received by our customers. Additionally, our lesser reliance on the Far East for our supply of goods is a major advantage over some of our competitors. It has allowed us to ship at higher levels than many and has helped our customers better serve their end consumers. So while there will always be challenges, the marketplace and our position within it, are in good shape. Meanwhile, our specialized non-aftermarket businesses remain strong. And we are very excited about this strategic thrust. This business focuses on selling custom engineered products into niche on-highway and off-highway end markets such as heavy-duty, construction and agricultural equipment, power sports et cetera. We've been investing in its growth. And with our recent acquisition activity in this space we now enjoy a run rate of about $300 million in sales. Not only is it diverse in end markets, it is diverse geographically with strong sales in Europe and Asia as well as in North America. We are now in the process of integrating all the pieces so that we can begin to truly take advantage of the combined strengths and pursue cross-selling opportunities. And this is beginning to bear fruit. And as we look to the future we see boundless opportunities. Next I'll briefly discuss margins though Jim and Nathan will delve deeper. Along with the rest of the world we have been experiencing elevated costs in just about every input; raw materials labor transportation and so on. The industry has largely been receptive to passing it through, but there is always a lag and the cost increases keep coming. The latest challenge making the headlines is the increase in interest rates which affect our receivables factoring programs with our larger accounts. We are working diligently to continue adjusting for these costs with more pricing phased in over the second half of the year, but they will impact our bottom-line for the immediate future. At this point, I'll hand it over to Jim to review the details.
Jim Burke: Okay. Thank you, Eric. From an operations perspective, I will highlight the inflationary pressures we are facing in the current environment and our action plans to address these headwinds. The PPI or Producer Price Index is up 11.2% over the last 12 months and 18.2% for the current year annualized rate. For SMP, no single material type or commodity source is significant across the basket of material purchases. However, our cumulative material purchases will be somewhat representative of the U.S.-based producer price index. Some of the significant drivers of these increases are transportation costs both freight in and freight out. And while international container costs have trended down in 2022, they still remain three times historical levels. More local transportation costs are driven by escalating diesel fuel costs and driver shortages. Commodity costs, such as copper, steel and aluminum appear to have peaked and begun to trend down, but year-to-date averages exceed costs in 2021 and prior. Overall material purchases are significantly up as our vendors are facing many of these same pressures plus labor inflationary costs. Non-material purchases including utility costs medical insurance and professional fees are experiencing double-digit increases. The obvious question next is what we are doing to alleviate these inflationary pressures. To begin, we look internally for cost reductions with make first buy efforts low-cost vendor sourcing and also near shore sourcing to reduce transportation costs. Value-added engineering efforts to add automation where feasible and other areas for cost reduction. These internal efforts produce significant savings but are not sufficient alone to stem the tide of these increased cost drivers. In combination with our internal efforts we are also passing along price increases to our customers. We have implemented price increases in late 2021 that have carried forward benefits in early '22 and our price changes implemented in 2022. However, in general our pricing actions have trailed the higher costs we have incurred. Based on the continued inflationary costs we are incurring for materials labor and overhead and interest rates we plan to implement further pricing actions going forward. Besides inflationary pressures our supply chain logistics remain difficult due to extended lead times and delays transporting the product. We have a distinct advantage with our North American manufacturing footprint which better assists us in managing our supply chain. Over the past year we strategically increased inventory levels, due to many of the challenges discussed, which we believe strengthened our partnership with our customers. We feel our inventory levels have peaked at the end of the second quarter and look for meaningful inventory level reductions, over the second half of 2022. While these are very challenging times it is through the dedication and determination of our employees that make SMP the number one supplier in our industry. Thank you and I will turn the call over to Nathan, for his financial highlights. 
Nathan Iles: All right. Thank you, Jim. As we go through the numbers, I'll first give some color on sales and margins for each division, then look at the consolidated results, cover some key balance sheet and cash flow metrics and finally, provide an update on our financial outlook for the full year in 2022. First looking at Engine Management. You can see on the slide, that net sales there in Q2 were $241.9 million, up $8.7 million or 3.7% versus the same quarter last year with the increase a result of sales from acquisitions made last year and higher pricing. For the first six months, sales in Engine of $481.1 million, were up 8.1%. And excluding sales from acquisitions and a reduction in sales from the loss of a customer, which we've now completely lapped sales were up 2.6% with the increase driven by higher pricing. Looking at the margin. The second quarter gross margin rate for Engine Management was 25.8%, down from last year but remember, that last year's margin benefited from the impact of strong production, to rebuild inventory levels as the economy reopened. This aside our margin in the second quarter of 2022, was impacted by a number of things. First, we had some higher customer returns, which can be lumpy in nature based on customer return patterns. Second, we had continued pressure on costs from persistent inflation. Third, we incurred some higher freight expenses resulting from stocking higher inventory levels. And last, we continued to see a mix shift to more non-aftermarket sales, as we've been discussing for some time now. Engine's gross margin for the first six months was 26.6% and was down from last year for largely the same reasons given for the quarter. As a final comment on Engine margins, while our margin is down from last year, keep in mind that last year did not see the same inflationary pressures or supply chain costs, now faced across the economy. And while we did pass on higher prices to customers during the quarter, we continue to pursue additional pricing actions to offset the continued inflation in our costs. Looking at Temperature Control. Net sales there in Q2 were up $7.9 million or 7.5%. And for the first six months, we're up $26.8 million or 15.9% with the increase mainly reflecting a solid start to the season so far and higher pricing. Our gross margin rate for Temperature Control in the quarter was 26.7%, a decrease of 0.2 points from last year, while the gross margin rate for the first six months of 25.8% was down 0.6 points from last year. The slight decrease in margin for the quarter and first six months, was due to inflation in our costs and some higher freight expenses related to stocking higher levels of inventory to prepare for the summer season.  Turning to our consolidated results. Our consolidated net sales reflected the growth we saw in each division, with Q2 up 5.1% versus last year and the first six months up 10.3% versus last year. Our consolidated gross margin rate was down for the quarter, and first six months for the reasons noted before, but given our year-to-date growth in consolidated sales, we did report higher gross margin dollars for the first six months of the year, despite a lower rate. Moving now to SG&A expenses. Our consolidated SG&A increased in the quarter and the first six months, as rapidly rising interest rates drove expenses from customer factoring programs higher and we had additional costs from acquisitions made last year. Our consolidated SG&A expenses increased by $6.8 million in the quarter, and included $4.7 million of higher factoring costs and $2.9 million of additional costs from acquisitions made last year. Excluding these items, our core SG&A expenses were down $0.8 million versus Q2 last year. SG&A expenses for the first six months increased by $15.3 million and included $5.5 million of higher factoring costs and $6.5 million of additional costs from acquisitions. Excluding the factoring costs, for the first six months, our SG&A as a percentage of sales, would have been 18.5% and lower than last year. Looking at the bottom line, consolidated operating income as shown here on the slide, was 7.8% of net sales for the quarter and 8% for the first six months of the year, and earnings per share and EBITDA were lower than last year for both the quarter and first six months, for the reasons already discussed. Turning now to the balance sheet. Accounts receivable of $229.7 million, at the end of the quarter were up $49.1 million from December 2021, with the increase typical of the seasonal nature of the business and mainly a result of higher sales during the quarter. Inventory levels finished Q2 at $551.4 million. up $82.7 million from December 2021 with the increase a result of higher sales levels this year and a strategic investment in inventory to both make sure we meet our customers' delivery expectations and to buffer against supply chain volatility. As the end of the second quarter marks the peak of our seasonal working capital needs, we expect a reduction in inventory for the balance of the year as Jim mentioned. Looking at our cash flows. Our cash flow statement reflects cash used in operations for the first six months of $95.3 million as compared to cash generated of $23.2 million last year with more cash used for accounts receivable stemming from management of our customer factoring programs in the prior year and more cash used for inventory for the reasons noted before. Regarding capital expenditures, we continued to invest in our business and used $13.2 million of cash for CapEx during the first six months. up from $11.7 million used last year. Our financing activities included $11.8 million of dividends paid and another $25.6 million paid for repurchases of our stock. Financing activities also included $139.3 million of borrowings, which were used mainly to fund our operations, seasonal working capital requirements, strategic investments and returns to shareholders. While our borrowings were higher this year, we still finished the quarter with a low total debt leverage of 1.7 times EBITDA. Before I leave the topic of balance sheet and cash flows, I just want to reiterate that we were extremely pleased to enter into a new five-year $500 million credit facility during the quarter. The new facility gives our business added flexibility and allowed us to fix a portion of our interest rates with a swap agreement during a time of rapidly rising rates. We expect to use the new facility to support our growth and continue to execute on strategic priorities, while continuing to return value to our shareholders. I'd like to thank our team and banking partners for helping us put the new facility in place. Finally, I want to give an update on our sales and profit expectations for the full year of 2022. First let me note again that it's very difficult to forecast what will happen in this current environment where inflation is much higher than normal and we're now seeing a rise in interest rates to address that inflation. Regarding our top line sales, we are maintaining the expectations we put forward at the beginning of the year, which is that we expect full year sales growth for 2022 to be in the low to mid-single-digits. With regard to margins, you can see from our results for the year so far that we continue to be under pressure from inflation in our costs and that inflation continued to increase during the second quarter. Additionally we expect interest rates will continue to rise which will drive a further increase in our supply chain financing costs. As such, we are lowering our expectations for the year from a margin and profit perspective and now expect consolidated gross margin will be approximately 27% and consolidated operating profit will be in the range of 7% to 8%. While we expect our results to be lower than discussed previously, it is a result of persistent inflation and higher interest rates both of which rose higher and more quickly than anyone had anticipated. As always, we look to pass higher costs on to our customers in the form of pricing but we continue to be in an uncertain economic environment. To wrap up, while we faced several challenges during the quarter, we were pleased to continue to make progress expanding our business in new markets to aid our future growth. We also enhanced our liquidity and capital structure with our new credit facility and provided significant shareholder returns via share repurchases. We remain confident in our ability to navigate the evolving landscape. And to that end we announced this morning that our Board has approved a new $30 million share repurchase program which we'll use in line with our capital allocation strategy. Thank you all for your attention. I'll now turn the call back to Eric to wrap up.
Eric Sills: Thank you, Nathan. So in closing let me reiterate that we're pleased with where we're headed and we surely acknowledge that there are many headwinds including cost increases, supply chain issues and labor shortages. And there's also a great deal of uncertainty due to external factors such as the lingering impact of the pandemic and various geopolitical issues. We also understand that we are going up against some very difficult comps. We also recognize many favorable structural trends within our core aftermarket and exciting opportunities in new complementary markets. And therefore, while there can be volatility period-to-period, we are excited about the future. And with that I will turn it over to the moderator and we will open it up for questions. 
Operator: [Operator Instructions] Our first question comes from Scott Stember from MKM Partners. Your line is open.
Scott Stember: Good morning. Thanks for taking my questions.
Eric Sills: Good morning, Scott.
Scott Stember: Eric, can you maybe dig a little bit deeper into the Engine Management? You talked about how I guess if you strip out the wire and cable business that you were running out positive at POS. Maybe just talk about that and what the impact from the wire and cable was. I think that's in the release but maybe just talk about that a little bit.
Eric Sills: Sure. Absolutely, Scott. Well, what we did see -- well, first of all, I think it's important to note, overall as we look at POS, the absolute dollars of POS are very strong. So it's really about going up against a very difficult comp of the same period in 2021. But even on top of that, if you exclude the wire and cable portion of Engine Management for those that we do get reported POS information, which is not the entire market, but it's certainly representative and directional, we continue to see Engine Management again excluding wire and cable in the low single-digits throughout the period. The wire and cable piece which we've historically been saying and you've been following us for a very long time has been in that high single-digit decline year-over-year. Coming out of the pandemic largely because of the DIY search really started to see very strong abnormal growth. That is behind us. It's returned to that high single-digit decline, albeit from a higher level than pre-pandemic. So it is having a drag overall in the Engine Management division.
Scott Stember: Right. Got it. And regarding price increases, obviously when you're putting through price increases for factoring, the catch-up effect is even tougher right because of the fact that it's an immediate impact on everything you have factored. But just maybe talk about the timing of these price increases. And assuming, let's say rates were to level off here, how long would that take to be fully implemented into the income statement?
Eric Sills: That's a very fair question. And first I'd start by saying that factoring is one -- is only one of the inflationary costs that we're seeing and we think about it really more holistically than that. And frankly, a lot of the other inflationary costs also kind of hit you in some ways unexpected. There is always a lag between when we see the cost and when we are able to get them implemented partly because there's a certain amount of work we need to do internally. And then there's always a lag for an effective date once delivered and agreed to by the customer. And that can take several months before it actually takes effect. So as I believe Jim mentioned or maybe it was Nathan, we did start putting through some price increases towards the end of last year. And we do have more in place to take effect over the second half of this year. They are phased in, but we do have some that are planned and in place.
Scott Stember: Got it. And then on -- maybe on Temperature Control. Obviously, headlines are out there. This is obviously the hottest summer on record and maybe talk about how inventory is in the channel and if maybe the demand is outstripping your ability to put product in?
Eric Sills: Sure. I'll speak to the inventories in the field and Jim can speak to our ability to keep our shelves in good shape. But what we've seen over the last several months for those customers that we do have visibility into their inventory is really that their inventories are holding up nicely. Their sell-in is basically equaling sell-through. Their inventory is in a better position at the end of the quarter, which is the last data that we have than it was at the same time in the previous year. So while the heat remains elevated, which is obviously very good for business, their shelves are in good shape. And Jim, maybe you can speak to keeping our shelves prepared for them.
Jim Burke: Sure. Thank you, Eric. Yeah. Good morning, Scott. Yeah, we're very pleased with our performance to date. We've been filling in the mid-90s with Temperature Control. Obviously, you can see on the balance sheet, we do have raised inventory levels. So we feel pretty good. However, we react day-to-day with the production the demand seems very strong, but we're still confident where we're meeting this is now entering August. So another two months into the season and we feel pretty good where we are.
Scott Stember: Got it. And just one last question just to clarify is that the overall fundamental underpinnings of the business have not changed. This is obviously an inflation issue that we're dealing with and the -- I guess the fundamental outlook here is unchanged.
Eric Sills: That's absolutely the case, Scott. And in many ways, this inventory is a very strong stable industry -- that's the inventory. This industry is a very stable industry. And even as we head into some challenging potentially economic times, this industry does terrific in those types of situations. And the fundamentals of the industry are strong. I think the fundamentals of SMP are even stronger, because we are very well positioned to really take advantage of that do-it-for-me market, which is where the growth is going to be. The fact that our products are nondiscretionary even if people are struggling perhaps with their own bank accounts, they need to repair their vehicles and so they will be installing our parts. So, the fundamentals are as solid as they've ever been.
Scott Stember: Got it. Thank you very much.
Eric Sills: Thank you, sir.
Operator: [Operator Instructions] Our next question comes from Bret Jordan from Jefferies. Your line is open.
Bret Jordan: Hey, good morning, guys.
Eric Sills: Good morning, Bret.
Nathan Iles: Good morning.
Bret Jordan: You talked about customer returns in the quarter. Is there anything going on specifically there around either the market share or meaningful shifts in inventory?
Nathan Iles: Yes. Hi, Bret. It's Nathan. No news really there other than we just had some higher returns in the quarter. Like I said, the returns can be lumpy. We do keep our accruals up to date as you would expect. But, just given changes in customer patterns from time-to-time, we did have a little bit more coming in this quarter than others.
Bret Jordan: Okay. And then, I guess on the mix shift to, obviously, more of the non-aftermarket specialty lines impacting the gross margin rate, is it still seeing sort of a comparable EBIT margin rate from that business or is that not the case?
Nathan Iles: Yes, that's right. You're still seeing a very comparable operating profit EBIT margin versus the aftermarket expected to still be in line with what we've said before. That said, we're seeing inflation challenges across the business as we've already talked about. And so, we had the same inflation pressures on that business as well.
Bret Jordan: Okay. And then last question I guess, the 5.1% year-over-year increase. Could you sort of carve out what is units versus price in that? Obviously, a lot of talk of inflation, but can we sort of maybe try to quantify what the actual inflation contribution is to that growth rate in pricing?
Eric Sills: I'd have to give it to you more intuitively than with data, Bret. But there's so many moving pieces and with mix shifts going around and we have some products that we sell for $1 and some that we sell for $1,000. So, it's really hard to say. But I would say that the majority of the growth would be more priced than unit demand.
Bret Jordan: Okay. But do you think units are up or do you think units are down and this is all price? I mean it seems like at retail, it's mostly price units likely down. Would that be the same here?
Eric Sills: I'd say roughly flat, give or take. Again, I don't have any information. But it's not -- the unit demand is not the needle mover here.
Bret Jordan: Okay, great. Thank you.
Operator: And our next question comes from Robert Smith from the Center for Performance Investing. Please go ahead.
Robert Smith: Hi. Good morning. Thanks for taking my question. You mentioned that there's some work that's stuck internally in trying to keep abreast of inflation and price increases. So, is there anything that you guys can do I mean, through AI or something to make that more robust and to be more current with trying to implement increases -- price increases?
Eric Sills: I'm not sure -- you broke up a little bit -- you're asking about AI and artificial intelligence to be able to better predict cost changes, is that where you were?
Robert Smith: Yes. So that you could get more of a handle on how to increase price more robustly, I mean in that cadence so to speak.
Eric Sills: I just believe that we're in such unprecedented times. We've never seen anything like this with the different commodity changes, supply chain, costs, freight, transportation, labor. It's caused I think, the whole -- not just the industry, the whole world to be reactive rather than proactive. I wish we were able to be more proactive, but it's just so unprecedented that we're all just trying to keep up. 
Robert Smith: And do you see any changes in the landscape so to speak as far as acquisition possibilities? 
Jim Burke: Good morning Rob, this is Jim Burke. As we've said in previous calls that are there we're always staying abreast of opportunities that are there. We stay focused in the two primary categories that we're in, but we're -- we have opportunities with the non-aftermarket business niche business that we've picked up where the last year we picked up Trombetta and Stabil in the sub-sensor business. So, we're looking at everything. We have a team in place. And I'd say it's competitive but we're prudent and staying within our key categories. 
Robert Smith: Yes. And what about the question of leveraging the balance sheet? I mean you're comfortable where you are? And how much further might you be able to go? 
Nathan Iles: Hi, Robert it's Nathan. I mean we're certainly comfortable with where we are now. I mentioned our leverage ratio of 1.7 times is certainly still very healthy. Jim talked about M&A and we've always said that if there was something very interesting that was the perfect fit for the business we could certainly lever up to three times EBITDA but it would have to really like I said be the perfect fit for the business. 
Robert Smith: Thanks. Good luck going forward.
Eric Sills: Thank you, Robert.
Operator: And our next question comes from Daniel Imbro from Stephens Inc. Your line is open.
Daniel Imbro: Hey good morning. Thanks for taking my questions.
Eric Sills: Good morning Daniel.
Daniel Imbro: Nathan I want to follow up on Scott's question earlier around the factoring cost. I guess one could we just frame up or quantify how much the financing costs within SG&A were up year-over-year in the second quarter? 
Nathan Iles: Yes Daniel. So, I think like I said let me just get the numbers. So, in the quarter, our factoring costs were up $4.7 million versus last year and for the first six months, they were up $5.5 million versus last year. 
Daniel Imbro: And then within your guidance you mentioned you expected a headwind increase? I guess are you just -- you're assuming further rate increases? Any help quantifying kind of what you guys have baked into that op margin guidance just so we can get a sense for what underlying SG&A margin is doing? 
Nathan Iles: Right. Yes. And so we're looking at the forward interest rate curves like everybody else is which is now baking in the most recent Fed guidance around their future increases. The way we tend to think about it at a high level is that we sell roughly $800 million of our receivables each year and so a 1% increase in rates would be about $8 million of an impact to us. And so as rates have gone up really from almost zero a couple of years ago to where they are now, you can start to see that impact showing up. 
Daniel Imbro: Helpful. Maybe shifting over to the revenue guide. I think you called for low to mid-single-digit increase and that implies pretty flat almost negative topline growth in the back half Nathan. If we're passing through additional price increases, which Eric mentioned, and POS trends are still up, I guess, are you just assuming a pretty meaningful volume slowdown in the coming quarters, or how do we get to that back half implied revenue guide? 
Nathan Iles: So, yes, Dan like I think -- like we talked about earlier in the year we're still in uncertain times. I think if you listen to a lot of the noise on Wall Street right now a lot of folks are calling for a recession at some point. And I think we did expect things to slow down. We've been at such high levels for our industry versus where we've been historically the last couple of years that we would expect things to sort of normalize and level off and come back down a little bit. 
Eric Sills: Also we recognize where we are in the first half of the year up 10%. A good chunk of that is acquisitions that we didn't have in last year. We've now lapped that essentially and so now that becomes apples-to-apples going forward.
Daniel Imbro: That's helpful. And then Eric maybe last one. I think in your prepared remarks, you mentioned your brands are outperforming. I guess can you share any data or color on how your market share is trending within your core categories? What kind of share do you have with your core customers in those categories and kind of what's left if there's anything incremental to gain? 
Eric Sills: Well, it's very difficult to quantify market share in this space, especially because our categories are so broad and we have so many. But what the industry associations have begun to publish is sub-product category comparisons, where we're able to see our demand throughout the entire customer base, essentially every customer is reporting and how we are doing vis-à-vis the rest of the market in the same product category. And so, it basically allows you to not just look at your own POS, but allows you to look at how you're doing vis-à-vis the rest of the market. And in most of the cat -- they don't do all of our categories, but in most of the ones that they do and they share with us, we tend to be outperforming the rest of the market which is indicative of a share gain to us. It's very difficult to say we are x percentage of the market because there are just so many subcategory competitors and very difficult to quantify. But we do believe that we are making share gains.
Daniel Imbro: Great. Appreciate the color and best of luck going forward.
Eric Sills: Thank you.
Operator: And it does appear, there are no further questions over the line at this time.
Tony Cristello: Okay. We want to thank everyone for participating in our conference call today. If you have any further questions, our contact information is available on our press release or Investor Relations website. We hope you have a great day. Thanks.
Eric Sills: Thank you.
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time.